Operator: Good afternoon. Thank you for standing by, and welcome to AppFolio Inc.'s Third Quarter 2023 Financial Results Conference Call. Please be advised today's conference is being recorded, and a replay will be available on AppFolio's Investor Relations website. I would now like to hand the conference over to Lori Barker, Investor Relations.
Lori Barker: Thank you, Gigi. Good afternoon, everyone. I'm Lori Barker, Investor Relations for AppFolio, and I'd like to thank you for joining us today as we report AppFolio's Third Quarter 2023 Financial Results. With me on the call today are Shane Trigg, AppFolio's President and CEO; and Fay Sien Goon, AppFolio's Chief Financial Officer. This call is simultaneously being webcast on the Investor Relations section of our website at appfolioinc.com. Before we get started, I would like to remind everyone the AppFolio's safe harbor policy. Comments made during this conference call and webcast contain forward-looking statements, within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties. Any statement that refers to expectations projections or other characterizations of future events including financial projections future market conditions or future product enhancements or development is a forward-looking statement. AppFolio's actual results could differ materially from those expressed in such forward-looking statements for any reason including those listed in our SEC filings. AppFolio assumes no obligation to update any such forward-looking statements except as required by law. For greater detail about risks and uncertainties please see our SEC filings including our Form 10-K for the fiscal year ended December 31, 2022 which has been filed with the SEC on February 9, 2023. In addition this call includes non-GAAP financial measures. Reconciliations of these non-GAAP financial measures with the most directly comparable GAAP measures are included in our third quarter earnings release posted on the Investor Relations section of our website. With that, I'd like to turn the call over to Shane Trigg. Shane, please go ahead.
Shane Trigg: Thanks, Lori, and welcome to our third quarter 2023 earnings call. This quarter, we continued to execute our strategy, while delivering profitable growth. I'm pleased to report that, revenue was up 32% year-over-year to $165 million and we now serve more than 7.8 million units. In addition, we improved our margins driving non-GAAP operating margin to 16% and non-GAAP free cash flow margin to 20%. These results are a reflection of our commitment to delivering industry-leading innovation to our customers while being disciplined operators. Since our last call, we reduced the size of our team by nearly 9% a decision that while difficult better positions us to focus on the real estate industry and efficiently execute the opportunity in front of us. Our pursuit of profitable growth is in service of our customers because to be the innovative long-term partner they can rely on to power their businesses we must be a healthy resilient business ourselves. We are accelerating the pace of our innovation with advancing technology like generative AI delivering on our customers' needs through a wealth of new product functionality and creating exceptional value to help our customers perform through all market conditions and thrive in any environment. Just last month we announced new and meaningful ways to leverage our platform at the sold-out 11th Annual AppFolio customer conference. More than 800 customers representing over 1.4 million units came to customer conference to learn how to put our technology, partnerships and services to work so they can drive more meaningful outcomes for their businesses. Customers left the conference with a deeper understanding of how we're innovating to streamline critical workflows and help them operate more efficiently. One of the most exciting innovations announced at the customer conference stage was Realm-X our new conversational interface leveraging generative AI to let users interact with AppFolio in plain language. We are currently piloting Realm-X with a select group of customers ahead of its wider availability in 2024. Realm-X has three components we refer to as ask tell and teach. Customers can ask Realm-X a question. They might ask for a report like a rent roll or can ask questions like, which vendors are available for a maintenance requests. They can tell Realm-X to do something for them like drafting an e-mail to residents or requesting vendor quotes. And they can teach Realm-X a common workflow automating it, so their teams can focus on higher value work like building resident relationships and driving business performance. Our early investment in AI is paying off. Last quarter we talked about AppFolio Realm representing our full suite of AI capabilities. From traditional AI models we use in capabilities like Smart Bill Entry to new generative AI models employed in Realm-X. We're now at a point where 85% of customers using one or more of Realm's capabilities more than twice the adoption we saw just one year ago. Going forward, the generative AI power of Realm-X will increase efficiency for our customers by eliminating repetitive tasks, freeing teams to focus on what matters, people and performance. We recently surveyed more than 2,300 US property management company employees, an overwhelming 88% agree that technology makes their job easier indicating that almost one-third of their typical work week could be optimized or streamlined through technology. According to one customer conference attendee, Karen Seabrook, owner and realtor at Key Realty and Property Management in Oklahoma City with 500 units on AppFolio. And I quote “AppFolio is always thinking ahead. We are so pleased with the new AI integration that will help propel our business in the future. Our clients will be impressed and we are so excited for the new updates.” We're grateful to all of our customers for choosing to grow their businesses with AppFolio and trusting us with their future. In addition to announcing Realm-X, we continue delivering innovation that builds engaging and lasting customer relationships, the first of our three strategic pillars. In fact in the past year, we have deployed more than 300 features that customers directly requested through our user community, demonstrating our commitment to our value that listening to customers is in our DNA. For owners, we provided more transparency and on-demand access to their property data, documents and action items. They can easily see and improved work order estimates and electronically sign and reference important documents like their management agreement. We're excited about the potential of this innovation to nurture more strategic relationships between property managers and owners. For residents, we recently upgraded the maintenance intake process. Maintenance intake now uses AI to triage and get to the root of a residence maintenance issue. It helps property management teams quickly identify and understand problems, eliminating the need for follow-up and clarification and speeds up time to resolution. Many times we can troubleshoot and resolve problems without requiring a maintenance tech to come on site. Examples like these demonstrate our focus on delivering elevated differentiated experiences that set us and our customers apart in the market. The second pillar of our strategy is unlocking unit growth by acquiring new customers up market. Customers are looking for ways to grow occupancy and net operating income in the leasing process. Through our leasing CRM introduced at customer conference, we give customers visibility into everything that's happening in the leasing funnel, enabling leasing agents to have conversations at the prospect level instead of the property level critical for customers with multifamily properties and on-site teams. Our AI leasing assistant, Lisa, seamlessly integrates with leasing CRM empowering customers to have complete control over when to engage with potential residents. Expanding our coverage of additional property types also contributes to our ability to win and retain upmarket customers. Affordable housing is now available as part of AppFolio Property Manager Plus. From project based Section 8 to LIHTC and HUD, AppFolio has tools for customers that need to track compliance and manage their affordable housing and conventional units all on one platform. Jessica Hoff Berzac, co-owner in principle of UPholdings with 2300 units across four states on AppFolio says and I quote “Before AppFolio, we had a variety of technological solutions. One of the biggest things that AppFolio has done for us is bring all of that under one umbrella. It is all an AppFolio now." In addition to adding property types, we are powering mixed portfolios by extending the value of our platform to scale with complex operations whether built natively or delivered by our integration partners. Take our new bulk actions functionality. Instead of completing one move out after another customers can now efficiently set dates, take necessary accounting actions, and download disposition letters, all in one streamlined workflow. This is important to our upmarket customers, particularly those with student housing in their portfolio. Another key component of our strategy is to unlock unit growth upmarket with AppFolio Stack. With 48 partners and 1.3 million connected units, our integration partner ecosystem continues to expand, offering customers increased flexibility to integrate their favorite Proptech solutions into their workflows. One of our newest partners is Birdeye, a leader in digital customer experiences, which offers tools for reputation and review management, online listings, messaging, surveys, and competitive benchmarking. This integration will equip connected AppFolio customers with actionable AI-powered insights they can use to find and convert more leads. The third pillar of our strategy is to expand customer adoption AppFolio Property Manager Plus and our value-added services. In the third quarter, we expanded our customer education program to better help customers and their teams build critical AppFolio expertise. These capabilities empower our customers to quickly adopt and use our products and services leading to more meaningful business outcomes. The expanded program has three components; first the new and improved AppFolio Academy, a 24/7 on-demand learning center with educational content tailored to ramp new hires quickly and assist more experienced employees when they need help with advanced topics. Second, academy training, customized training sessions led by our product -- a team of product experts, specifically designed to meet the needs of customers who require a personalized and immersive learning experience. The third and newest component is academy certifications, which are dedicated self-guided courses designed to up-level and certify our customers AppFolio expertise. Our expanded education program aims to provide comprehensive support. However, there still may be occasions when our customers need to seek specialized skills outside of their organization. In such situations finding high-quality partners with the right expertise can be challenging. We've set up to solve this problem by recently launching AppFolio Stack Solution Partners, a network of industry experts ready to help customers achieve their business goals. Through this new category we can now offer customers easy access to some of the best accounting and consulting solution providers in the industry which only further helps our customers succeed on our platform and inspires expanded use and adoption. In summary, we are pleased with our continued strategic execution and resulting profitable revenue growth in the third quarter. Thank you to our customers, partners, and team members who help make the customer conference a huge success. We remain focused on creating exceptional value that powers the future of the real estate industry and sets our customers apart from the rest. I will now hand it over to Fay Sien.
Fay Sien Goon: Thank you, Shane. The third quarter demonstrates success in our focus on achieving profitable revenue growth. We delivered revenue growth of 32% year-over-year to $165.4 million and generated free cash flow amounting to 20.3% of revenue. Core solutions revenue was $39.8 million in Q3 a 17% year-over-year increase driven by new customers and additional total units on platform along with continued adoption of AppFolio Property Manager Plus. At the end of the third quarter we managed approximately 7.8 million units from 19,418 customers compared to 7.1 million units from 18,109 customers a year earlier. This represents a 7% increase in customers and a 10% increase in ending units. For Value Added Services, revenue in Q3 grew 39% year-over-year to $123.2 million. This growth in our payments business was a result of increased online rent payments adoption and higher volume rent transactions paid using a debit or credit card and our decision to stop our eCheck fees. Additionally, risk mitigation and screening grew in line with our seasonal Q3 expectations. Our Q3 results demonstrate our ability to grow profitably in spite of macroeconomic conditions. Our innovation and reach from property managers to investors and owners to vendors and residents makes us resilient. Turning to spending. We exited the quarter with 1,683 employees which is a decline of 4% compared to the third quarter of 2022 and this includes 149 employees that were impacted from our previously announced reduction in force as Shane mentioned earlier. The mid-quarter restructuring of head count affected all areas of the business and while difficult aligns our structure risk strategy to empower our employees to better serve our customers. Non-GAAP cost of revenue exclusive of depreciation and amortization was 36% of revenue compared to 40% in the third quarter of last year. Turning now to non-GAAP operating expenses. Our year-over-year dollar increase in operating expenses for Q3 is primarily due to employee costs associated with retaining talent, particularly in specialized areas such as R&D. As a percent of revenue combined sales and marketing, R&D and G&A fell to 44% in the third quarter of 2023 from 52% in the third quarter of 2022, due to growth in revenue and our multi-quarter focus on operational efficiency. Sales and marketing expenses as a percentage of revenue decreased from 19% in the prior year to 15% this year. R&D expenses as a percentage of revenue was 20% in both the third quarter of this year and last year. Our G&A expenses as a percentage of revenue decreased from 13% in the prior year to 10% this quarter. Overall, our non-GAAP operating margin in the third quarter of this year improved to 16.1% compared to 3.7% in the third quarter of last year. Free cash flow this quarter was 20.3% compared to 9.5% in the same quarter last year. We are pleased to be increasing our projected full year 2023 revenue guidance range to $608 million to $612 million. The midpoint of this range represents a full year growth rate of 29%. We expect that full year 2023 cost of revenue exclusive of depreciation and amortization will be higher than Q3 2023 as a percentage of revenue due to a normalization of product mix within our value-added services revenue. Our 2023 ending head count is projected to be below 2022 ending headcount. As a result of improving operational efficiencies and the increase to our revenue guidance, we are increasing our full year non-GAAP operating margin expectation to 10.5% to 11% of revenue and free cash flow is projected to grow to 10.5% to 11.5% of revenue. Basic weighted average shares outstanding are expected to be approximately 36 million shares for the full year. In summary third quarter results are an excellent example of how AppFolio focus on delivering profitable growth and industry innovation. We are looking forward to sharing more information and seeing many of you in person over [indiscernible] during our November 14 Investor Meeting. Thank you all for joining us today and we look forward to seeing you soon. Operator this concludes today's call.
End of Q&A: This concludes today's conference call. Thank you for participating. You may now disconnect.